Operator: Good day, ladies and gentlemen, and welcome to the Rush Enterprises First Quarter 2019 Earnings Result. At this time, all participants are in a listen-only mode. Later we'll conduct the question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Chairman, CEO and President of Rush Enterprises, Mr. Rusty Rush. You may begin, sir.
Rusty Rush: Good morning, everyone, and welcome to our First Quarter 2019 Earnings Release Conference Call. On the call today are Steve Keller, Chief Financial Officer; Derrek Weaver, Executive Vice President; Jay Hazelwood, Vice President and Controller; Michael Goldstone, Vice President, General Counsel and Corporate Secretary; and Steve Taylor, Vice President of Medium-Duty Trucks. I would like now to turn it over to Steve Keller for some forward-looking statements. Steve?
Steve Keller: Certain statements we will make today are considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Because these statements include risks and uncertainties, our actual results may differ materially from those expressed or implied by such forward-looking statements. Important factors that could cause actual results to differ materially from those expressed or implied by such forward-looking statements include but are not limited to those discussed in our annual report on Form 10-K for the year ended December 31, 2018, and in our other filings with the Securities and Exchange Commission.
Rusty Rush: As stated in our news release, we achieved quarterly revenues of $1.3 billion and net income of $37 million or $0.98 per diluted share. We're extremely proud of our strong financial performance this quarter, which was driven by our focus on our strategic initiatives and positively impacted by the strengthening economy and robust industry activity. We are also pleased to declare another quarterly cash dividend of $0.12 per common share. In the aftermarkets, our parts, service and body shop revenues were $438 million, up 9.5% from the first quarter of 2018. Our aftermarket gross profit grew at an even faster pace than our revenue, resulting in aftermarket gross profit margins of 37.7% in the first quarter of 2019 compared to 36.4% in the same quarter of 2018. Our absorption ratio for the first quarter was 121.5%. Our aftermarket growth was primarily attributable to the successful execution of our strategic initiatives, particularly expanded All-Makes Parts offerings and technologies, increased hours of operations, new service offerings and additional technicians in our network. There was healthy activity from most vocational customers, but the energy sector activity was down approximately 30% year-over-year. Given the decline in the energy section -- sector, I'm very pleased with our overall first quarter aftermarket growth. We expect industry-wide aftermarket activity to remain strong and believe that aftermarket activity in the energy sector will improve modestly throughout the remainder of the year. With our continued efforts to drive company efficiencies and reduce dwell time through our initiatives, we believe our overall aftermarket growth will be on pace with our first quarter results. Turning to truck sales. We sold 3558 new Class 8 trucks, up 7% year-over-year and accounting for 5.5% of the total U.S. Class 8 market. Our solid truck sales performance was a result of a strong economy and widespread activity throughout the country. ACT Research currently forecast U.S. Class 8 retail sales to be 264,000 units in 2019. Our backlog has decreased from late 2018, but it remains strong, and we are confident that our truck sales in the second and third quarter will be on pace with the first quarter. We continue to closely watch several market factors, which may impact the market in the fourth quarter and beyond. In medium-duty, our Class 4-7 new truck sales reached 2614 units and accounted for 4.2% of the U.S. market. We had another strong quarter in medium-duty truck sales due to our abilities to provide work-ready trucks to customers nationwide. ACT Research forecasts U.S. Class 4-7 retail sales to be 262,300 units this year, up 1.6% from 2018. We expect our Class 4-7 results will accelerate throughout 2019, which will help to partially offset any downturn in the Class 8 market later in the year. Our used truck unit sales were essentially flat year-over-year, but our revenue increased 3%. Used truck values remain stable but may face pressure later this year. We believe our used truck inventory and pricing can be effectively -- can effectively support market demand. In the area of network growth, a company subsidiary completed the purchase of 50% of the equity in Rush Truck Centers of Canada Limited, which now operates 14 dealerships in Ontario, Canada. We're excited about this strategic expansion of our network and the opportunity to support customers operating in Canada. As in past years, employee benefits and payroll taxes contributed to increased expenses in the first quarter. Even with these normal seasonal increases, our balance sheet is strong, and we remain able to invest in our future while returning capital to our shareholders. I would like to thank our employees for their commitment to our customers and our long-term goals. It is their hard work and dedication that allows us to announce these positive financial results. With that, I'll take your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Brad Delco with Stephens.
Brad Delco: Hey Rusty, Good morning.
Rusty Rush: Good morning.
Brad Delco: I want to ask you about the parts and service gross margins. I think they were 37.7%. If I recall correctly, you guys were sort of talking to us about that being sort of in the 35% to 37% range because of mix with some Navistar. But we have seen that number continue to trend higher. Do you have any updated thoughts on where that number could or should go?
Rusty Rush: Well, we expect to continue to trend higher. Obviously, if I look back in history, a lot has to do with mix, Brad. I mean sometimes you got to break the parts and service apart. I know we don't report it that way, but we've always reported it as a mixed number. But I would tell you with the initiatives that we still have going, we believe it can still trend upward, especially from the service side, obviously, when you get more service mix. And our service -- you got to remember, our service initiatives and the growth around our service area are much more -- are very much younger than the goals we have had on the parts side. We've been working hard on the parts side for over 3 years, 3 to 4 years. At the same time, we've been [running] on the service side for 1.5 years or so to 2 years. But we do believe that we have room to grow on both sides of the house from a margin perspective. You got to remember one of the things from the Navistar side that hit historically on the margin piece was they used to be dominated by their own proprietary engine, right? But because of the mix of engine on the Cummins side, that is a little bit more competitive, say, pricing than when you've got proprietary engines. It takes some of your proprietary content out. But we've been able to offset that with some of the strategic initiatives, which I don't really like to get into all of them because I consider some of them trade secrets that we've got to going on. But you can see in the numbers that it's trending upwards. Is there a cap on that? Of course, there is, unless we grew service at a much higher rate than we grew parts margin -- part sales, just given the margins in service. But I would say we've still got some runway, another point or so. I would tell you given if we keep more to a historical mix, I would say we probably can get, the mix didn't move a lot. I'd say there's probably another point or so in there.
Brad Delco: Okay, but it…
Rusty Rush: That's over time. Don't expect that to happen next quarter because we have -- you've got to keep -- these initiatives that we've been rolling out consistently over the last couple years, I'll tell you not all of them are running at full speed at the moment, right? We're gaining traction all the time. So it's -- I'm sort of swagging at it here because -- for the proof of the pudding will be in the eating, right, as we go forward with this. But I do believe there's still some runway there. I just hate to -- it's hard for me to peg an exact number given those variables.
Brad Delco: Got you. But nothing within your view today that says that number should -- the margin should see pressure throughout the rest of 2019?
Rusty Rush: No. I can see when you get into it -- we were hit -- the country was hit -- a recession sometime. I could see some slight deterioration, but I don't believe -- it'd be hard for me to see [a lot], okay? And I do believe that -- you can go back a couple years, we were down in the 35% range, right?
Brad Delco: Yes.
Rusty Rush: So we've made some pretty good progress here with that. It's not all at the point of sale. There is a lot of things that go into it. There's some back -- we don't -- it's from the acquisition side also, right? It's not just from -- your purchase also. It's how you purchase too. It's not just how you sell. But it's in all sides, and there's a lot of other initiatives I said that we've got wrapped around for some of these areas -- both of these areas, and I'm not really going to get into all the details of those, but you'll see it in the margins.
Brad Delco: And then maybe kind of a longer-term question. Some of the, I guess, ACT has Class 8 sales down a lot in 2020, let's call it 25% to 30%. What do you think your parts and service business could do in an environment where Class 8 sales are down 30%?
Rusty Rush: Consider -- I think we can continue to grow. I really do. I would hope we can continue to grow at this rate. Obviously, the hill -- the higher up you go, the harder it is to climb because your comps get tougher and tougher. But we still believe we've got -- and that's one of things I was really proud about from the quarter, and I mentioned that was --. Let's go back a few years when oil and gas at around 30%, you would have been seeing almost double-digit growth, especially on the margin side, that we showed in the first quarter. So even with truck sales down, they make up less of a piece of what we do than what they used to. There's up-bidding involved in trucks, but they make up even less than what they historically did with us just because of our growth of taking share in the real parts market, not just tied to your vehicles. So I personally believe we can still stay in the high single digits and up to -- and possibly low double digits even with the market going backwards. Because remember when you stop selling, that means your fleet starts aging too, right? So the counterbalance to it all is your fleet -- if you sell less units and you're a little bit below replacement, then the fleet starts to age again, which means requires more parts and service. So -- and our sweet spot is usually from trucks, say, year 4 through year -- year 3, 4 -- year 4 through year 7 is our sweet spot. So there's a little bit of an upside to you don't like it when you sell less trucks. The average age increases and they could -- and that's when they -- when the age goes out a little bit, that's when you hit peak parts consumption.
Brad Delco: Okay great thanks for the time. I’ll get back in queue.
Rusty Rush: Thank you Brad.
Operator: And our next question comes from Jamie Cook with Crédit Suisse. You may proceed.
Jamie Cook: Hi, good morning. Nice quarter. I guess, two questions, Rusty. One, if we look at what you're saying for the sales cadence for Class 8 in the second and third quarter, it seems like your expectations at least have come down a little from what you were saying last quarter with regards to the first half of 2019. So if you could put some color around that? And then my second question is, I thought the comments you made on energy were interesting, being down 30%, in particular the profitability that you put up. But with oil prices higher, are you seeing any change? And how do we think about the trajectory of things recovering potentially? Thank you.
Rusty Rush: Yes. I'm going to take them in -- well, I'll just take them in the order you asked. You're right. I did -- last -- I thought we were going to deliver a few more units in Q1 than we did. I think it's as much timing as anything. I would hope we'll at least deliver as much in Q1 as we had in Q2. I'm not going to -- I'm sorry, I may have missed a little. I expected to deliver a few 100 more units, to be honest with you. I did not expect to deliver what we did in Q4, okay? Q4 was an extraordinary quarter, a record quarter. But we had some big fleet business in there, right? The mix was a little different here in Q1, and that's what you saw in the margins. We sold a lot of -- that was surprising. In the first quarter, we had a lot of inventory we sold. At the same time, a lot of smaller deals. And that's typical at this piece of the cycle on the over-the-road stuff is you are selling smaller deals as you get further into it, right? And that's somewhat typical from what I've experienced over the years. So I feel comfortable. I don't want to overstate it, like you said. I might have hit it a little bit too hard. Maybe -- you maybe thought we were going to do a little bit more than what we did. But backlogs are coming down. Our backlog is down. But so is the margin -- so is everybody. So are OEMs, right? You can't have 50,000 units in 3 months of order intake when you're building at the rates that we're building at currently, right? And we have a total of 50,000 in 3 months. You're going to chew up on some backlogs out at the OEMs, just like ourselves. And I always -- look, I've been doing this a long time. I don't count anything really out past 120 days. So let's -- you'll never -- that's why I'm always a little bit fuzzy on something out like Q4 right now. But our backlog, saying all that, is still strong. And our -- as I said, my medium-duty backlog is biggest it's ever been. Let's just say that. So -- and I think it's -- that's going to be one of the keys. And I know I'm getting off at base a little bit. I think there's one thing you got to understand about the organization. Remember, we're not just a Class 8 dealer, okay? Now I realized the -- they're half of the cost. They cost half as much, and they make a little less margin. But they're still a big piece of what we do. We're not just the largest Peterbuilt, International. We're the largest Hino. We're the largest Isuzu, and we have quite a few Ford deals too. So you've got to keep that in mind. Because that market should remain stable for the next few years. I think that may be go unseen. That's not the same, but boy does it help. When you look at all the franchises that we've got out here, we've got more than anybody else across the board on those, and that will help us as the Class 8 market is going to be more cyclical, as the dynamics of distribution change. I think everybody understands last mile, all that other stuff, happens. I think you -- that's going to be one of the things that's going to help us out over the next couple years. We know -- you've got to believe Class 8 is going to be off 25% to 30% next year. But we don't believe that's going to be the case on the medium side. And given our focus and what we've done over the last 16 years and the growth and I think that's going to help. Back to oil and gas -- or over to oil and gas. It's -- I was a little off last quarter. When I was talking to you all on the 1st of February, I said, "Well, it's hanging in there." While I was sitting in this chair, it was starting to drop off, okay? It had dropped off. I just didn't recognize it at the time. I started looking at numbers a couple weeks after that. I go, whoa, we're seeing a little softness on the parts and service side. We have very little truck sales involved. I think when you look at the big oil field supplier services companies, their inventory built up pretty heavy, okay? They had lots of inventory, okay? And I think now we're starting to, hopefully, be chewing away at that inventory. You had pipeline issues of getting oil and gas out, getting oil out of the Permian and stuff like that. There's pipelines coming on. You see where oil prices are. So you've got to feel pretty good that we've troughed. What we're seeing, we believe, from a parts and service perspective and from a sales perspective, I believe is pretty trough right now. So that's one of the heartening things to me is putting up numbers like this when you believe you're troughing and probably should be -- and I'm just reading what people say where oil should fall in play, where oil prices should remain for the next year or so. And some of the inventory gets built up. It's not just trucks. It's all kinds of equipment that we build and things we do and stuff we service throughout this country, not just in the Permian or the Eagle Ford. We do a lot of mobile stuff, and that's where we saw some softening. But I do believe it'll heat back up. The one thing we have to be cognizant of is the efficiencies that are now out there. It doesn't take as many rigs to drill as many wells. But we've got stuff -- we've got pretty good at that stuff. At the same time, given that I do believe we're at trough, but I do believe, as I said, we could see some moderate increases from a parts and service perspective. And we through the year and in the next year, I would see the CapEx equipment purchasing to -- whether it's cranes or different makeups or trailers and things like that, that we're pretty proficient at, I would expect that to pick back up as those inventories get depleted now.
Jamie Cook: Okay. Thank you. I will get back in queue.
Operator: Our next question comes from Neil Frohnapple with Buckingham Research. You may proceed.
Neil Frohnapple: Good morning guys and congrats on a great quarter. Rusty, just wanted to get your thoughts more on the heavy truck cycle from here. I mean, you talked about the potential pressure on used truck values later in 2019. But are you starting to actually see any initial signs of weakness like on -- in sleepers? And I'm curious if you've experienced any increases in Class 8 order cancellations? Or are those still pretty [muted] for you guys?
Rusty Rush: I think cancellations are pretty [muted], but intake are muted too, right? You can't have these 15,000 across the whole network, across the whole country and not [feeling it yourself]. I haven't seen a lot of cancellations, but I have seen a couple people that are not adding like maybe they thought they were going to add 90, 120 days ago. They might talk about it. And I think -- look, freight rates -- as we all know freight rates are down and once one of the biggest drivers. Our freight rates are flat, let's say. I read something the other day, one shipper reports said it'll be up maybe 1% across the board. Some people are just hoping to keep flat, as contracts get [let] and things like that. So that's -- I mean -- but that was a record year in 2018. Let's don't lose sight of that. Our current customers had record rate increases in 2018, but then -- and a wild little story. I don't think you can continue that way. But everybody knows that's not how it works. So I'm watching that closely. Used truck values will be let's less shoot, I believe it has to drop at sometime. I think right now, I know from our perspective, I don't believe, I think last year would be peak margins on used trucks. I don't expect, I don't know if we'll be able to maintain we had record margins last year on used. But I think that we can maintain our, maintain our turns and our volumes go up. We might have to give up a little bit of margin to do that. So but we'll be watching closely. I mean, some things I read, volume was pretty good in March, but some stuff brought a lot less, a little less money in March, and we're in the middle of April. I have talked to my, I was talking to my used truck manager, Vice President the other day, and he is -- pretty much what he said our volumes are holding up, picking back up. But if you get -- once you get into January and February, they're always tough. And our volumes pick back up in March. They're projected to be up by the time we get to the end of April, so -- which is normal seasonal type stuff. But I'm gong to be watching close. I just got to believe with values being so strong last year but there's going to be some -- there's going to be a used truck hit somewhere along the line. There has to be I think. But so far, it's maintaining. And we'll be watching it closely and make sure our inventory is priced right and in there, right. So I mean, I know I'm not giving you a definitive answer. Remember, I told you it was going to go down last year in the third, fourth quarter, late fall and some winter. So I was wrong. Like I told you on the last call, I was glad to be wrong. And I'm glad it's still stretching out, but I'm not foolish enough and have done this enough times to know there will be an adjustment out there. I just -- I guess I'm not as good as I used to be when it comes to projecting exactly what it is. But I do know it'll be there, and I got to believe it'll be before year-end sometimes. And that's why I'm little as I said, I don't look past 120 days in my mind. We -- people -- OEMs, "Well, I'm billed for the year, I'm sold out." Well, they can talk all they want. But until they get -- they can be all -- they can say all that if they want, but until you get -- I don't look past 120 days, so -- because of those variables, because of used truck variables, because of rate variables. Like I said, the spot markets for sure a bit off. So anyway, I know I'm not giving you the exact answer. But I got to believe sometime later this year we will have some used truck devaluation outside of just a normal calendar devaluation. There will be some type of devaluation in used, but I would love to be wrong, but we'll be watching closely.
Neil Frohnapple: That's helpful. And certainly your new and used truck gross margin of 8.3% probably wouldn't have been as high if used was...
Rusty Rush: Yes. That was a record. Don't look for that to hold. That was -- I mean, look, that was a record all time. You can go look. I mean, Q1, it was a mix. We had a lot of stock, a lot of constructions. We just had a lot of small stuff in there and then made that up, not a lot of -- compared to where we had a lot of fleet business in Q4. So sometimes it's about the mix, right?
Neil Frohnapple: Right. And then just I guess a question for Steve then. Are you able to provide the gross margin breakdown by truck in the quarter to get to the 8.3%?
Steve Keller: Yes. Heavy was 8.9%, medium was 5.9%, light was 5.2% and used was 10.6%.
Neil Frohnapple: Okay thanks very much I’ll pass it on.
Rusty Rush: As I said, those were way out, and it had to do with a mix of a bunch of small stuff, which is what you see this time of the cycle on sales -- in Class 8 side.
Operator: [Operator Instructions] And our next question comes from Andrew Obin with Bank of America.
Andrew Obin: Good morning.
Rusty Rush: Good morning, Mr. Obin.
Andrew Obin: I have a question on S -- COGS and SG&A, actually SG&A specifically. Can you just talk about puts and takes for SG&A between, let's say, 2015 and this year, 2020? What are the big puts and takes? How should we think about it? I guess, what permanent components -- I know that SG&A is sort of variable, but what structural things have you done to SG&A both positive and negative?
Rusty Rush: Well, let's strip it apart. Yes, it's going to be tied pretty much directly to -- S is when they -- it's going to be tied in truck sales, okay? That S piece is going to be tied -- that variable piece is going to go up and down. It's going to be a certain percentage of gross profits on truck sales. We strip it out. We -- as long as we keep that in a range it typically is, and we typically do, it's going to be a component of -- a percentage of gross profit on truck sales. That's what the S makes up. So it's just going to fluctuate with that. So you can watch what the truck sales are and you'd be able to just see if S is going up or S is going down. G&A, Obviously, I don't -- going back to 2015, Andrew, might be a little bit of a stretch for an old man like me. But I know we've invested a bunch. Our G&A by quarter, you know, as I said earlier, the first quarter is always the toughest because it's got lots of -- a lot of employee benefits, comps, stuff like that, stock, all that good stuff, and some taxes and everything else kicks fully on in Q1. So that's why you always see sequentially typically that Q1 jumps up. We have been investing a lot. When you -- even if you look at -- if you want to go to same-store because remember we've been -- when we've [working] on the independent strategy. So if you strip some of that stuff out we rolled out in the last 8 or 10 months and just look at same stores, we're up. But we're -- the good part is we're driving -- there's an absorption number and then there's an absolute dollar number. The good part is we're not keeping as much as I'd like right now, but we're continuing to invest. That's what's been driving I think -- what's it like, quarter number 12 of -- this is the first one slightly under double digit but quarter 11 in a row. Well, I can't remember, but we've been driving that revenue up. I always tell everyone, it doesn't come -- it doesn't come for free. I'm not loaning money -- I'm not loaning out money or stuff. I'm turning -- we're turning the wrenches and selling parts to deliver the stuff. It takes people. It takes a lot of that to do it. Plus, with the technology spend that we believe is helping our people with better information. And as we move in -- as the world continues to evolve, we're on top of it, like rolling out our e-commerce platform. I mentioned that in the press release, I believe. We rolled that out in March. Well, that didn't come for free. And we're not getting the bang for our buck on that, but we're going to. These are investments. And so I -- when you look at G&A, are there adjustments we could make if things went backwards? Of course, there are. But right now, we're going to continue down the path we are -- have been on. And our G&A is not going -- it will -- it's not going to stay flat year-over-year. It's just not. With double-digit growth rate, I cannot keep it flat. You don't get to keep it all. You got to spend some of it to make money. So I don't know if I answered your question. I don't know what you're really looking for.
Andrew Obin: Yes, I guess, what I'm looking for is, so let's say, you're sort of talking about Class 8 down 30% in 2020, let's call it that. I'm just sort of thinking if we're going back to sort of revenue level of -- I don't know, let's call it close to $5 billion or under $5 billion, similar to what we had in 2015. And then 2015 SG&A was, let's call it, $620 million just to round things up, just how much permanent cost have we added on G&A side versus 2015? So even a simpler question than that. Should I add $50 million to that? Should I add $100 million to that? Should I add $20 million to that? I mean, just a very simple question like that. That's what I was asking. Sorry, I think it was simpler.
Rusty Rush: Yes, well, Anthony -- or Andrew, maybe offline we'll go back and dig up '15. I'll go dig '15 numbers up. I don't have them sitting here in front of me. So it's going to be a little difficult for me to jump back to '15. I don't have them...
Andrew Obin: Get Keller, get Keller, get Keller to...
Rusty Rush: Okay? I can go back to '18 and probably take you back to '17, but jumping back to '15 is going to be a little tough on me here. But I can do it. But I can't do it right now on this call, I'll be honest.
Andrew Obin: Okay. I will follow up off-line. Great quarter.
Rusty Rush: Yes, follow up with that, and we will be happy to go -- I'll be happy to go through it. I mean, there is no question. Remember, we always going to spend some of that money we make and that gross profit. It takes money to make -- you got to spend money in the truck business to get return. The key part is how much you get to keep, right? My goal is always to keep somewhere around 40% to 50%. Right now, we're not keeping that much because our investments are higher. We're probably keeping more like the 30% range of every gross profit dollar. And our G&A, we're spending about $0.70 of every gross profit dollar. My goal is to get it back closer to $0.50. But when you're are continuing to invest and that's difficult when you're trying to -- you're running as hard as you can growing, especially when you think you've got share gain. We believe we can gain share. This was a 5-year plan we put together to get share. And it was to take our share where we were less than 4% of the parts business, we want 6% plus. And we're going to get it. And we're not going to get it without spending a little bit of money, as I say. So we -- I measure it gross profit dollars, and I have to spend some of those gross profit dollars to keep creating gross profit dollars. At the end of the day, you pay me for making absolute dollars, not percentages. And I think you can see in the numbers we're producing on the parts and service side, we're making a little money.
Andrew Obin: Thank you.
Rusty Rush: You're welcome.
Operator: Ladies and gentlemen, this now concludes our Q&A portion of today's conference. I would now like to turn the call back over to Mr. Rusty Rush for any closing comments.
A - Rusty Rush: Well, I really don't have any closing comments. That was short and sweet. I appreciate everyone listening in, and we look forward to talking to you with the second quarter call in July sometime. Thank you very much.